Operator: Please standby. Good day, everyone and welcome to the Itron Incorporated Yearend and Q4 2017 Earnings Conference Call. Today's call is being recorded. And for opening remarks, I would like to turn the call over to Barbara Doyle. Please go ahead.
Barbara J. Doyle - Itron, Inc.: Thank you, Sofie. Good afternoon and welcome to Itron's fourth quarter 2017 earnings conference call. We issued a press release earlier today announcing our results and our financial guidance for 2018. The press release includes replay information about today's call. A presentation to accompany our remarks on this call is also available through the webcast and on our corporate website under the Investor Relations tab. As a reminder, Itron completed the transaction to acquire Silver Spring Networks on January 5, 2018. Our guidance for 2018 is for the consolidated company results including contribution from the acquisition. On the call today, we have Philip Mezey, Itron President and Chief Executive Officer; Joan Hooper, Senior Vice President and Chief Financial Officer; and Tom Deitrich, Executive Vice President and Chief Operating Officer. Following our prepared remarks, we will open up the call to take questions using the process that the operator will describe. Before I turn the call over to Philip, please let me remind you of our non-GAAP financial presentation and our Safe Harbor statement. Our earnings release and financial presentation include non-GAAP financial information that we believe enhances the overall understanding of our current and future performance, reconciliations of differences between GAAP and non-GAAP financial measures are available in our earnings release and on our Investor Relations website. We will be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could differ materially from these expectations because of factors issued in today's earnings release and the comments made during this conference call, and in the Risk Factors section of our Form 10-K, and other reports and filings with the Securities and Exchange Commission. We do not undertake any duty to update any forward-looking statements. Now please turn to page 4 in the presentation, and I'll turn the call over to our CEO, Philip Mezey.
Philip C. Mezey - Itron, Inc.: Thank you, Barbara. Itron's fourth quarter business results increased significantly from 2016. Quarterly revenues of $551 million increased by 11% over last year, and non-GAAP EPS of a $1.01 increased by nearly 50%. We were very pleased with the top line revenue performance. In Q4, we shipped a record 4.6 million smart systems and endpoints driven by strong demand for OpenWay Riva and new solutions. We were not satisfied with the level of gross margin in the quarter. There's an opportunity for higher margin as we attain greater efficiency in our operations, reach maturity on new products and processes and continue our supply chain transformation. We continue to focus on our goals of predictability, profitability and growth including additional steps to restructure our operations that we announced today. In terms of new business, customer activity in Q4 was robust with strong bookings in all geographic regions. The sales teams demonstrated good execution in the quarter with $811 million of bookings and a 1.5 to 1 book-to-bill ratio. The book-to-bill ratio exceeded 1 to 1 in each segment more than replenishing the backlog across all of our businesses. Itron's total backlog at year-end of $1.75 billion increased by 6% compared with year-end 2016. 12-month backlog of $931 million grew by 22%. Our increased backlog provides a solid foundation for predictability and organic revenue growth. As you can see on slide 5 in our presentation, over the last five years, total backlog has increased by 13% on a compounded annual basis and 12-month backlog has grown by 15%. Our backlog of Electricity business has expanded significantly over that time. The Electricity backlog exceeded $1.1 billion at year-end and was up 9% compared with year-end 2016. These growth trends reflect strong industry demand for new technologies and an expanding group of OpenWay Riva adopters across electricity, gas and water utilities. Including the $325 million of business we have been awarded that is not yet reflected in our backlog, we have 5 million OpenWay Riva endpoints committed by customers including Avista, Vectren, National Grid, Public Service of New Mexico and others. Additionally, AVANGRID and Eletrobras are installing OpenWay Riva today. We booked several notable new customer contracts in the quarter. In Electricity, we expanded our project with Duke Energy into two additional jurisdictions for an additional 3 million smart meters. With these new commitments more than 6.5 million electric smart endpoints across Duke's service territories will be connected under the Itron OpenWay network. We are delighted to work as a partner with Duke on their strategic smart grid projects. We also signed a four-year distributed energy management contract extension with Pepco Holdings to manage its demand response program. This is one of the largest DR programs in the country with more than 460,000 devices deployed. In addition, we booked a new five-year contract with NV Energy to implement Itron IntelliSOURCE to manage the utility's agricultural demand response program in Nevada. In Gas, we signed significant contracts with Consumers Energy, Cascade Natural Gas Corporation and Questar Gas in North America. In the Water segment, we booked new Riva network contracts in Australia with Cairns Regional Council and in the U.S. with the City of Roseville, California. Cairns is the first Riva water project outside North America, which we are very excited about. We also won significant new business in Sanepar in Brazil and with SUEZ and Veolia in France. On top of Itron's $1.75 billion in backlog, we will be adding more than $1.2 billion of backlog from the Silver Spring Networks acquisition. The backlog includes a new contract with Xcel Energy as a part of its Advanced Grid Intelligence and Security initiative. Itron's Gen-5 network platform will connect 1.4 million smart electric meters as well as distribution automation devices in Xcel's Colorado service territory. We will provide a more refined estimate of the 12 months and total acquired backlog amounts on our first quarter call in May of 2018 after we have substantially completed the accounting for the transaction. Now, let me turn the call over to Joan to review our financials.
Joan Schweikart Hooper - Itron, Inc.: Thank you, Philip. Consolidated GAAP results are shown on slide 6 and non-GAAP results are shown on slide 7. Our fourth quarter financial results improved year-over-year in nearly all key metrics, notwithstanding a $30 million non-cash tax charge related to the U.S. Tax Cut and Jobs Act signed into law in December. The $30 million charge or $0.77 on a diluted per share basis was to recognize estimated impacts from the legislation on the company's deferred tax assets. The amount of the charge may be adjusted over the course of 2018 due to changes in interpretations, assumptions and additional guidance that may be issued. Itron anticipates a beneficial impact from the U.S. tax reform and we currently expect our 2018 non-GAAP effective tax rate will be reduced from approximately 35% to 28%. Inclusive of this $30 million tax charge, GAAP net income was $1.8 million or $0.05 per diluted share in the quarter. Gross margin improved 10 basis points year-over-year to 31.7%. Strong Electricity gross margin on higher smart solution volumes and mix offset lower Gas and Water margins. The high volume of shipments as well as factory and supply chain transition drove increased cost in the quarter. While we continue to make progress in our supply chain transformation, we are in the early stages and not yet realizing the full cost benefits. We anticipate elevated costs related to these transitions will continue through the first half of 2018. Other financial highlights in the fourth quarter include GAAP operating margin which increased to 8.6% and non-GAAP operating margin which increased to 10%. Non-GAAP net income increased 51% year-over-year to $39.8 million and diluted non-GAAP EPS increased 49% to $1.01 per share. Adjusted EBITDA as a percentage of revenue was 11.9% in the quarter, up from 10.9% last year. Operating cash flow increased to $77 million in the quarter versus $34 million last year, driven by improvements in profitability and working capital. Fourth quarter free cash flow of $61 million, compared with $21 million in the fourth quarter of last year. Full year cash flow from operations of $191 million increased 65% versus 2016 and full-year free cash flow of $142 million nearly doubled. Cash and equivalents at the end of the quarter totaled $176 million, increasing by $43 million from year-end 2016. Total year-end debt of $613 million included $300 million of financing proceeds held in escrow and classified as restricted cash. These proceeds were used to finance the Silver Spring Networks transaction which closed on January 5, of 2018. Adjusting for this $300 million in escrow, the net debt leverage was 0.6 times adjusted EBITDA in the fourth quarter. Now turning to the fourth quarter year-over-year revenue bridge on slide 8, total company grew by 8% year-over-year on a constant currency basis, driven by our Electricity segment. Electricity's strong 17% revenue growth reflects increased smart solution business in North America and EMEA. OpenWay Riva deployments continue to ramp in the U.S. and Linky shipments continue to accelerate in France. We have seen strong growth in Electricity all year with full-year revenues up 9% compared with last year. In Gas, higher smart solution revenues in EMEA and increased OpenWay Riva sales in the U.S. were offset by lower meter and regulator revenues following the completion of a large metering project. In total, Gas revenue declined by 1% in constant currency. Water revenue also declined by 1% compared with the fourth quarter of last year. Lower revenues in the U.S. and EMEA from project delays in those regions were partially offset by growth in Latin America and Asia-Pacific. This is the fifth consecutive quarter of year-over-year growth in Latin America driven by economic recovery in Brazil and increased funding for residential water projects throughout the region. Now, I'll turn to the non-GAAP EPS bridge on slide 9. The strong volume and revenue performance in the quarter was a catalyst for high earnings. Lower taxes also had a favorable impact on non-GAAP EPS compared with last year, driven by the mix of income by jurisdiction and favorable discrete items including a tax audit settlement and lower valuation allowances. These positive year-over-year EPS impacts were partially offset by additional product development, sales and marketing expenses to support new solutions. The net result was non-GAAP EPS of $1.01 per share, a 49% increase compared to last year. Slides 10 through 12 show results by business segment for the fourth quarter. Itron's Electricity business delivered another strong quarter with revenue of $294 million and gross margin of 32.9%, up more than 350 basis points year-over-year driven by increased sales of Itron's smart grid solutions. Gas gross margin of 31.9% was down compared with last year, driven by a higher mix of meters versus communication modules and higher cost associated with manufacturing transitions. The gross margin in the Water segment decreased to 28.6% due to product mix and lower volumes. However, the yearend water backlog is up 34% compared with 2016. Steady backlog increases over the last six quarters driven by projects in Australia, Africa, Brazil and the U.S. support our view that the Water segment should return to more predictable growth starting in 2018. Now, I would like to discuss key initiatives we have underway that will drive even greater predictability, profitability and growth. Turning to slide 13, I'll begin with an update of the impact of the acquisition of Silver Spring Networks on our business. Through our integration efforts, we have confirmed the $50 million of run rate cost synergies by the end of 2020, which we estimated when we announced the acquisition in September. We anticipate achieving $20 million on a run rate basis by the end of 2018, which will drive approximately $10 million of realized operating expense savings in 2018. These savings will ramp up in the second half of the year. We will incur approximately $60 million of one-time severance, professional fee and facility cost to achieve these synergies. Most of these costs will be accrued in the first half of 2018. These acquisition and integrated related costs will be excluded from our non-GAAP P&L; however, the majority are cash costs and will decrease cash flow particularly in the first quarter. When we report our combined results for 2018, the former Silver Spring Networks will be converted to GAAP versus their historical practice of reporting billings and excluding stock-based compensation from their non-GAAP results. In addition, we will have incremental interest expense for the deal financing. These factors will all contribute to lower EPS. The dilution from the deal will primarily be seen in the first three quarters of 2018 before the benefits from synergies ramp up. Turning to slide 14, let me also cover the restructuring announcement we made today. On February 22, our board approved a new restructuring plan that continues our efforts to optimize our global supply chain in manufacturing operations, product development, and sales and marketing organizations. This plan will result in an estimated $45 million to $50 million of annualized savings when complete, which we expect will be by the end of 2020. We anticipate pre-tax restructuring charges of $100 million to $110 million for this plan, primarily for severance and other one-time termination benefits. We expect to record the majority of this charge in the first quarter of 2018. Of the total estimated charge, approximately 95% will result in cash expenditures. Many of our employees are represented by unions or works councils, which require consultation and potential restructuring projects may be subject to regulatory approval, both of which could impact the timing of planned savings in certain jurisdictions. The 2018 restructuring plan is the next phase of our operational transformation and it supports the company's goals to drive profitability beyond our near-term mid-teens EBITDA target. Now, I'll pull this all together with our 2018 guidance on slide 15. For the full year 2018, we anticipate revenues will be in the range of $2.33 billion to $2.43 billion and non-GAAP EPS will be in the range of $2.95 to $3.35 per share. Our guidance is based on the following assumptions: A euro to U.S. dollar exchange rate of $1.21, 40 million shares outstanding, and an effective tax rate of 28%. This quarter, I'll provide some additional guidance to help investors better understand impacts related to the acquisition and other unique factors affecting this year. Adding the incremental interest cost related to financing the acquisition, results in total interest expense of approximately $50 million in 2018. As in recent years, the linearity of our business will be more weighted to the second half of the year. We anticipate the slope of revenue between the first half and second half will be very similar to 2017. However, margins and earnings will be more back-end loaded. Improved margin contribution from our supply chain initiatives, more profitable product mix, benefits from our restructuring plans and acquisition synergies in the latter part of the year will drive higher margins and higher EPS in the second half of 2018. Our first quarter results will also include one-time impacts for purchase accounting and other adjustments related to the acquisition. All-in, we expect the first quarter to be our lowest profitability quarter this year. We anticipate first quarter revenues will be in a range of $575 million to $600 million, and non-GAAP EPS will be between $0.10 and $0.15 per share. We expect cash flow from operations will be above $100 million for the full year. This is lower than 2017 due to additional restructuring cost, increased interest expense and one-time upfront cash cost for Silver Spring Networks acquisition and integration. In the first quarter, we anticipate negative cash flow from operations, driven primarily by these items. Our financial guidance includes our current estimates for purchase accounting impacts, ASC 606, which is the new revenue recognition standard and tax impacts resulting from the 2017 U.S. legislation. These are current estimates that will continue to evolve through 2018, and if they change materially, we will update our guidance accordingly. Now, I'll turn the call back to Philip.
Philip C. Mezey - Itron, Inc.: Thank you, Joan. Our integration activities since closing the Silver Spring Networks transaction in January are going very well. Sharing more data between the teams and engaging in deeper discussions with customers has validated the financial customer and strategic benefits of this combination. We have a good line of sight to the revenue growth and cost synergies that we anticipated. Our 2018 guidance range reflects total combined company revenue growth between 15% and 20% compared with last year, and supported by a backlog of nearly $3 billion. The high end of our guidance reflects the opportunity to exit the year at a mid-teens EBITDA run rate. And while there is some noise in the first quarter, earnings dilution in 2018 from the acquisition will be temporal and is in line with our expectations. We continue to expect the transaction will be accretive to gross margin in 2018, and accretive to EBITDA and non-GAAP EPS in 2019. The restructuring plan we announced today underscores our continued commitment to business predictability, profitability and growth. The restructuring plan together with synergies from the acquisition supports our goal to drive profitability beyond mid-teens EBITDA after the projects are completed at the end of 2020. Customer response to our strategy has also been positive, evidenced by our strong bookings and growing backlog. Customers are upbeat about Itron's plans to build on their smart metering assets with a converged mesh network platform. Our message of accelerating innovation built on industry standards enabled by a broad ecosystem of partners and delivering more value is resonating with our customers. Our customer base of more than 90 million smart endpoints and millions more in backlog provides the scale to increase sales of value added services such as distributed energy management, lighting, distribution automation, non-revenue water and other analytics for smart utilities and smart cities. I am very pleased with how well our team is collaborating with a great sense of our shared mission to accelerate innovation, value and choice in our industry. We are executing clear plans to deliver on our synergy and profitability goals in 2018, and we are very optimistic about the future. Operator, now let's open up the call for some questions.
Operator: Thank you. And we'll take our first question from Chip Moore with Canaccord Genuity.
Chip Moore - Canaccord Genuity, Inc.: Thanks and congratulations on closing the deal. Philip, maybe you can start by giving us a little more detail on how integration is going here, only a month or so in, but how you see the two platforms converging and what efforts you're taking right now?
Philip C. Mezey - Itron, Inc.: Thanks, Chip. As I said, I mean the integration is proceeding extremely well. We've had a number of technical meetings, meetings with customers, all of which have gone very productively. Our expectation is, is that we're going to really go through a detailed technology planning cycle here in the first six months of the year, and we'll be providing more details as that develops. Our meetings with customers have gone extremely well in terms of understanding what it is that we're up to from a technology point of view. I think more importantly the process of really joining the companies together, getting a common understanding of how we're going to structure things on an ongoing basis has come along very, very well. So both technically and culturally and in terms of integrating our systems and customer base, very good progress is being made.
Chip Moore - Canaccord Genuity, Inc.: That's great. And maybe if I could sneak in one more, the new restructuring plan sounds pretty ambitious. How do you see that ramping, and any impact to the goal of de-levering there under two times in the next two years? Thanks guys.
Joan Schweikart Hooper - Itron, Inc.: I'll take the first piece. No change to the goal of de-levering because of this restructuring plan and maybe Tom wants to talk a little bit about the plan.
Thomas L. Deitrich - Itron, Inc.: Sure. Thanks, Chip. Tom, here. In my mind, I would say minimal amount of that savings you would recognize in 2018, maybe a touch towards the back half of the year. Most of it would ramp through 2019 and into 2020. There are a number of different geographies that are involved here. Some of them are bound up with the local rules that we will be sure to comply with and that takes some time for us to sort through, but across the geographies, probably more into 2019 and 2020.
Chip Moore - Canaccord Genuity, Inc.: Understood. Thanks.
Operator: And our next question comes from Noah Kaye with Oppenheimer.
Noah Kaye - Oppenheimer & Co., Inc.: Thanks so much for taking the questions. Maybe we could just start with, obviously a lot of moving parts to the Silver Spring integration. What are you assuming for GAAP revenues for 2018 for the network (24:35)?
Joan Schweikart Hooper - Itron, Inc.: Yeah, our guidance is really on a combined basis as it always has been. So, we aren't providing separate guidance for each of the segments. Obviously, we will report them as a segment when we report Q1 and you'll see that, but as I mentioned on the call, we did have to go through a process of historically your models and how they reported with billings and obviously we've converted that to GAAP, but we aren't going to be in a position to provide segment guidance.
Noah Kaye - Oppenheimer & Co., Inc.: Sure. Historically, there's always been a pretty big discrepancy between the GAAP revenue and the billings in that business. But just any sense whether there's going to be more convergence of kind of the GAAP and the billings trajectory this year because of the new revenue recognition standard?
Joan Schweikart Hooper - Itron, Inc.: Yes. I think so, and so obviously, as we convert them in our guidance and in our actual going forward, it's really a two-step process. You're converting them to ASC 605 and then to 606, but you're absolutely right, there will be a convergence versus what there had been. Typically, what you're going to end up having to defer though has higher margins. So in general, you would end up having a depressed impact on margins from showing GAAP versus billings.
Noah Kaye - Oppenheimer & Co., Inc.: Okay. That's very helpful. Thanks. And if we take that out and we take out Comverge and we take out FX, which looks like a tailwind, how should we be thinking about kind of organic growth in the business year-over-year?
Joan Schweikart Hooper - Itron, Inc.: Well, again, not being in a position to really provide segment-specific guidance. The aggregate amount is the range of 15% to 20%, a portion of that is kind of a legacy Itron and a portion certainly will be Silver Springs, but we mentioned on the call, we're pretty bullish about Water going into 2018, significant backlog, Philip mentioned the size of the backlog in Electricity, so we're really looking for all our segments to participate in that growth.
Noah Kaye - Oppenheimer & Co., Inc.: Okay. Great. And then maybe just one guidance-related question. The 28% effective tax rate, does that sort of constitute the right going forward rate as you think about all of your jurisdictions, or is there a reason why it might start to trend up from where it is (26:52)?
Joan Schweikart Hooper - Itron, Inc.: Well, yeah, it's our current estimate. Obviously, the U.S. federal portion of that is 21%, but then there are state taxes. So the overall U.S. rate probably blended is more like 25% and then it's higher than that because of some of the mix of jurisdictional income. So it can continue to move based on mix of jurisdictional income, but that's our best estimate for the year right now.
Noah Kaye - Oppenheimer & Co., Inc.: Okay. Thanks very much. I'll jump back in queue.
Philip C. Mezey - Itron, Inc.: Thanks, Noah.
Operator: And next we'll go to Joseph Osha with JMP Securities.
Joseph Osha - JMP Securities LLC: Hello and thank you. A couple questions from me. First, you've been reporting your existing Water, Gas, Electric on a revenue, gross margin, operating margin basis. Can we expect to see that kind of breakout for the new networks business once we see Q1?
Joan Schweikart Hooper - Itron, Inc.: Yeah. We'll report the – instead of three segments, we'll report four segments and it'll be the same metrics for all four segments.
Joseph Osha - JMP Securities LLC: Okay. And can we also expect to see some information about unit volumes? So Silver Spring used to report a sort of number of nodes shipped type of thing. Might we see that sort of wrapped into the meter unit data that you all have historically provided?
Joan Schweikart Hooper - Itron, Inc.: We're still in the process of really trying to understand how we want to report all the metrics going forward as a combined company. So I'd say it's probably too early to say it'll be the exact metric, but we're certainly studying that, and we'll be in a position to talk more...
Philip C. Mezey - Itron, Inc.: Joe, today – in today's current comments we did provide some unit-related information, because frankly, we like as you're asking for, the visibility of kind of the aggregate units that are represented by some of the topics that we were discussing.
Joseph Osha - JMP Securities LLC: Okay. Great. And then one last one for me. Philip, you've talked in the past about sort of an 8%, 8%, 6% (28:52) operating cost model for legacy Itron, and you almost got there in Q4. But can we continue to think about getting to that sort of operating model as being additive to these cost savings that you're talking about now?
Philip C. Mezey - Itron, Inc.: First of all, as you've obviously seen incorporating the historical Silver Spring OpEx model, which was significantly higher, it's going to take us some time through these synergy numbers to tame some of those costs on a combined basis. On a going-forward basis, we may see a somewhat higher research and development number. As we are rotating our model, this is very strategically done towards networks and increasingly in the software and services, this outcome space where investment levels would be somewhat higher, that we may see a little bit of an adjustment to that model. But we'll update you along the way. Safe to say in the interim, though, based upon the synergy numbers that we are very aggressively going after driving out duplicative cost.
Joseph Osha - JMP Securities LLC: Okay. I'll jump back in queue. Thank you.
Philip C. Mezey - Itron, Inc.: Thanks, Joe.
Operator: And our next question comes from Pavel Molchanov with Raymond James.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Thanks for taking the question, guys. When I look at your EPS guidance, so starting at just about breakeven for the year and then getting to $3 plus, that implies a run rate of well over $1 for the last three quarters of the year. Is there a certain sequence that we should be modeling? Is there an exit rate of profitability, for example, that you're anticipating?
Joan Schweikart Hooper - Itron, Inc.: Well, obviously, second half is much stronger than the first half in terms of the earnings. So as you say, the first quarter guidance of $0.10 to $0.15 and then the range of $2.95 to $3.35, so it is backend loaded. We described some of the levers that will help deliver that, which is the manufacturing, supply chain efficiencies are more backend loaded, some of the restructuring benefits from even the 2016 plan, synergies, product mix. So I can't give you a precise quarter-by-quarter, but we're comfortable we will achieve these numbers. And so if you just do the math on that, you have a pretty strong second half.
Philip C. Mezey - Itron, Inc.: And I'll point out the comment that we made that at the high end of the guidance that we've got the opportunity to start getting to this mid-teens EBITDA target at the end of 2018 as we have been aiming at for some time.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Okay. And I guess as we're modeling your SG&A and R&D expense, is there a particular head count that you're anticipating getting to on a normalized basis post the merger synergies and post the restructuring?
Joan Schweikart Hooper - Itron, Inc.: No, not really. As Philip said, we're working on between the acquisition synergies and the additional restructuring plans, we're certainly attacking the cost structure as well as even the manufacturing overhead structure, but it's not a necessarily head count target. So it's really focused on dollars.
Pavel S. Molchanov - Raymond James & Associates, Inc.: All right. Appreciate it.
Operator: Our next question comes from David Katter with R.W. Baird.
Benjamin Joseph Kallo - Robert W. Baird & Co., Inc.: Hey guys. This is Ben Kallo. Congratulations on everything.
Philip C. Mezey - Itron, Inc.: Hello, Ben.
Benjamin Joseph Kallo - Robert W. Baird & Co., Inc.: Hey. So I was wondering about the next $50 million restructuring, and could you just remind us when the first $50 million restructuring started? And then I know you have your plate full with Silver Spring. So why announce this now before you integrate the whole company?
Thomas L. Deitrich - Itron, Inc.: Yeah. So Tom here, Ben. Let me take a crack at that. So I'm trying to keep everything straight and separate here. We announced a restructuring program back in 2016. That program was due to be complete by the end of 2018, so that's roughly $40 million of annualized savings, part of that planned by the end of 2018.
Benjamin Joseph Kallo - Robert W. Baird & Co., Inc.: Tom, sorry to interrupt, but I think there was one before that, too, right?
Joan Schweikart Hooper - Itron, Inc.: 2014.
Thomas L. Deitrich - Itron, Inc.: Yeah. Certainly, yes. So 2014 is done and dusted and complete. 2016 we're I'll say midway through it. So what you saw in 2017 is little less than half of the run rate through that, still very much on track to get to the $40 million by the end of 2018. For the plan that we announced today, call it, the 2018 plan. That one will run through 2020 to get to roughly $50 million in annualized savings by the time we exit 2020. So that's what the layout is. So 2014 done, 2016 halfway through, 2018 obviously just starting. So that's how you think about it.
Benjamin Joseph Kallo - Robert W. Baird & Co., Inc.: I guess my question is, so you haven't started integrating Silver Spring. So it's probably bigger than $50 million, right?
Thomas L. Deitrich - Itron, Inc.: Well, what we said for Silver Spring synergy, again, keep them very separate in your mind is getting...
Benjamin Joseph Kallo - Robert W. Baird & Co., Inc.: No. For the other one.
Thomas L. Deitrich - Itron, Inc.: Synergy number, yeah.
Benjamin Joseph Kallo - Robert W. Baird & Co., Inc.: Not Silver Spring.
Thomas L. Deitrich - Itron, Inc.: So different activities associated with it, but $50 million in synergies for Silver Spring and $50 million in synergies – sorry, cost reductions as part of the restructuring, so different activities. In our mind, you've got to keep them separate in terms of how things go together. It's driven by the need to continue to optimize our ongoing supply chain. Please recall that Silver Spring was mostly an external supply chain, primarily contract manufacturing, we have a mix of internal and external manufacturing, and we still want to continue to push our supply chain model to really optimize the cost structure and make sure we've got the flexibility that we want. So there'll be some incremental outsourcing that happens on our side as we continue to optimize the overall supply chain. Part of getting to that mid-teens EBITDA target the company has talked about for a while is dependent on the supply chain piece of this, making sure also that we are thinking about how to reapportion our R&D activities towards the changes in the market as we think more about the outcome side of our business and how we can grow into some of that reoccurring revenue. So that's what drives it on the restructuring side of things.
Benjamin Joseph Kallo - Robert W. Baird & Co., Inc.: Got it. What about...
Philip C. Mezey - Itron, Inc.: Ben, to the core of your question, we've been very careful about assessing the level of risk in our bandwidth and how it is that we put this plan together. And as you've heard, the significant part of the restructuring plan is really focused on the supply chain, and we consider a number of the integration activities related to Silver Spring to be technology convergence, service delivery. And so this is largely different groups of people that are focused on these different aspects of the plan, but the velocity is absolutely increasing.
Benjamin Joseph Kallo - Robert W. Baird & Co., Inc.: Got it. What about on the sales synergies, selling meters to contracts that Silver Spring had just NIC cards?
Philip C. Mezey - Itron, Inc.: So, Ben, as we've talked about in our acquisition analysis, that $50 million synergy target is cost synergy. It does not count revenue synergies, and there are significant opportunities. And that is part of our overall deal logic here is that as you point out, there are cross-selling opportunities for Electric, Gas and Water, endpoints provided by Itron underneath former Silver Spring existing networks, there are street lighting and distribution automation, cross-selling opportunities of former Silver Spring technology under Itron customer base, and ultimately a very strong opportunity for the cross-sell of managed services and other software and data analytics across the portfolio. So we are actively pursuing revenue synergy opportunities that are beyond the numbers that we've discussed here on the cost side.
Benjamin Joseph Kallo - Robert W. Baird & Co., Inc.: Got it. Congrats, guys. Thanks.
Philip C. Mezey - Itron, Inc.: Thanks, Ben.
Operator: Our next question comes from Jeffrey Osborne with Cowen & Co.
Jeffrey Osborne - Cowen & Co. LLC: Hey, good afternoon, guys. Most of my questions have been answered, but I just had one clarification, two questions. On the fourth segment, first of all, will it be called networking or what's the name of it just for modeling purposes and then...
Joan Schweikart Hooper - Itron, Inc.: Network.
Jeffrey Osborne - Cowen & Co. LLC: Is it network? Okay.
Philip C. Mezey - Itron, Inc.: Itron network segment, yes.
Jeffrey Osborne - Cowen & Co. LLC: Itron network, perfect. And then is that just exclusively SSNI-related revenue, both NIC cards and software or is it going to include reader cards that you're going to parse out from what was in Electric, Gas, and Water in the past?
Philip C. Mezey - Itron, Inc.: No. This segment that we will be reporting in 2018 is exclusively legacy Silver Spring product and services.
Jeffrey Osborne - Cowen & Co. LLC: Got it. Okay. I just wanted to clarify that. And then there was a lot of moving pieces on charges and whatnot, but can you just go over what is in GAAP and non-GAAP earnings as it relates to the Q1 guidance of $0.10 to $0.15? I'm just trying to understand where the...
Joan Schweikart Hooper - Itron, Inc.: Yeah.
Jeffrey Osborne - Cowen & Co. LLC: ...where the charges are that you're including a non-GAAP for that one because it seems a much lower number for $600 million revenue run rate that I was anticipating?
Joan Schweikart Hooper - Itron, Inc.: Yeah. So let me focus on just Q1 and obviously we didn't give GAAP guidance because we are still working through all the purchase accounting impacts and don't have those quantified. So it's a non-GAAP guidance of a range of $0.10 to $0.15 EPS. If I think about it from a year-over-year perspective looking at Itron a year ago, the big reductions of EPS would be associated with interest. So I mentioned for the year $50 million of interest. That's roughly $35 million to $38 million higher annually than it would have been last year that's associated with the incremental debt we took on. Silver Spring is quite dilutive to us in Q1. We mentioned they're dilutive for the year, but not significantly for the year, but certainly for Q1. There are a couple of purchase accounting type things that actually have to run through the non-GAAP P&L. So, in aggregate, I think 10 million-ish of couple of adjustments that we need to book in that segment in Q1 that will be just one-time in nature. But it's really the combination of the incremental interest expense and bringing in Silver Spring in Q1, with really not the – the OpEx synergies aren't there yet, and so it's quite dilutive to us in Q1.
Jeffrey Osborne - Cowen & Co. LLC: And similar to Noah's question, the Silver Spring, if it was a standalone company, had a lot of new customers ramping up in 2018, and great visibility with their $1 billion-plus in backlog for the upcoming years. But historically, there was a lag on GAAP revenue recognition. So is that part of the issue just as we look at the network segment in particular? There's just a much lower GAAP revenue piece for that than maybe people were thinking?
Joan Schweikart Hooper - Itron, Inc.: Well, relative to probably your models and how they used to guide, yes, the GAAP revenue would typically be lower than billings, and there is a little bit of ramp, but that's not the issue. It's the issue of bringing in a company at subscale and it still has a significant portion of the OpEx structure...
Philip C. Mezey - Itron, Inc.: Jeff, I think which you're referring to is, as we report our first quarter results, there will be under ASC-606 and so it will be under a different revenue recognition and accounting regimen.
Jeffrey Osborne - Cowen & Co. LLC: Got it. And then just a quick clarification on the 2018 restructuring plan that you just announced this week, but based on the way you described it or Tom did, is it safe to say that of that $50 million maybe 75% of it or so is attributable to cost of goods and the rest to OpEx. Most of the points that you highlighted were COGS related, but I just wanted to kind of understand where the savings would be coming from as we try to think about the 2020 earnings power?
Thomas L. Deitrich - Itron, Inc.: Yeah. I would say that it's actually a bit more of a split between traditional OpEx lines and the cost of sales kind of line, so something more on the line of 50/50 is what you ought to be expecting on the balance. There are a bunch of things that are happening inside of thee as we get ready for moving towards an outcomes-based business and ramping that up as well as the supply chain side of it. That's where the costs would come in. The charges, of course, are very cash oriented. Most of that truly would be cash out on the charge side, but savings I think maybe half and half.
Jeffrey Osborne - Cowen & Co. LLC: Got it. And then maybe just one other quick one. On the 2016 restructuring plan and the benefits flowing through the second half, can you just remind us your two facilities that I think were a drag on earnings in France. Two-part question, one, are they closed yet? My memory, I thought they were closing in June, but if you could confirm that. And then how do we think about as those close at some point this year or maybe they already are closed, just your awards with the Linky program there, is there any risk to that as we think about the upcoming quarters?
Thomas L. Deitrich - Itron, Inc.: Yeah. Good question there. So the big facilities that were part of that 2016 restructuring plan, there was actually one in North America and one in France. Those were the two largest. Both of those are really in the ramp-down phases now, so we really do exit those during the first half of this year. In terms of the actual, yeah, that's some of the savings that's yet to roll into the P&L during 2018. In terms of the question around Linky specifically, we're obviously really pleased with the business that we have in France on the Linky project. It still is something that we look to carry forward in the future and are not making any moves that would jeopardize that. We don't that the 2016 nor the 2018 programs will in any way jeopardize our opportunities to continue on with Linky.
Jeffrey Osborne - Cowen & Co. LLC: Good to hear. Thanks, Tom.
Philip C. Mezey - Itron, Inc.: Thanks, Jeff.
Operator: Next question comes from Sophie Karp with Guggenheim Securities.
Sophie Karp - Guggenheim Securities LLC: Hi. Good evening, and thank you for taking my question. Just real quick on Silver Spring, so prior to the acquisition, they had plans to expand into verticals beyond straightforward metering solutions, into things like street lighting and other applications of the product. So what does the future look like for these initiatives under the new ownership? Thank you.
Philip C. Mezey - Itron, Inc.: Sure, Sophie. We consider this one of the attractive elements of our analysis and are very pleased with what we've found so far, very strong activity on the street lighting side. And I mentioned it as a potential revenue synergy opportunity where with Itron's footprint, we have additional opportunity to sell and expand there. The company historically had done very good work in its partner ecosystem and in fashioning development kits in order to enable partners that really is the preparation for being able to take a look at vertical markets outside of traditional markets, and we continue to take a look at how we can do that moving forward. The immediate opportunity in front of us is likely in the smart city area with street lighting and where Itron historically has had a very strong water footprint at the municipal level, we really are looking at opportunities there, but in the future we'll look even beyond that vertical market.
Sophie Karp - Guggenheim Securities LLC: Thank you.
Philip C. Mezey - Itron, Inc.: You're welcome.
Operator: Our next question comes from Sean Hannan with Needham & Company.
Sean K. F. Hannan - Needham & Company: Yeah. Thanks for squeezing me in here, certainly a lot of Q&A here tonight. Just a theoretical question and perhaps a little bit of observations. Now that you've got Silver Spring under the hood, what are you seeing in terms of the competitive environment or really more so in terms of the new bid environment, working with, discussing with potential new customers? Theoretically you would have had two different entities really more competitively bidding against each other. I would suspect and I think you folks have acknowledged this in the past, there will be some cases of risk aversion where the pie today isn't necessarily always going to be sum of the part. So, just want to get your sense of what you're observing thus far, and I guess conceptually where you think this might head to in terms of your ability to be competitive here? Thanks.
Philip C. Mezey - Itron, Inc.: Sure, Sean. So far in the comments that I made, the customer response has been very positive, certainly our customers want to...
Sean K. F. Hannan - Needham & Company: I'm sorry to interrupt here, Phil, wouldn't that be existing customers though? I'm trying to understand...
Philip C. Mezey - Itron, Inc.: Yeah. I'm going to say (47:37), but...
Sean K. F. Hannan - Needham & Company: Yeah.
Philip C. Mezey - Itron, Inc.: Yes. Prospect, I would say prospect response as well.
Sean K. F. Hannan - Needham & Company: Okay.
Philip C. Mezey - Itron, Inc.: Because a part of the tenets that we've talked about are that we are committed to open standards, that we are committed to the open nature of the network that will support as an example multiple meter providers, that we are supporting choice in the marketplace, and developing a broad ecosystem. And the overall logic of the increased scale of the company allowing us to drive faster innovation in not only the networking space, but also in our ability to invest in other software and data analytics that can drive more value out of the network investments that our customers are looking at is a strong message. So, is there a change in the competitive dynamic? Yes, we're very pleased with obviously the combined backlog that the company has and also the combined prospect list, and opportunity space that we're pursuing. And really feel that we've got a very strong offering for our customers to offer value, choice and really accelerated innovation.
Sean K. F. Hannan - Needham & Company: That's great to hear. Thanks so much for the color, Phil. Sorry for jumping in and the interruption there. Appreciate all of the context here tonight.
Philip C. Mezey - Itron, Inc.: Thank you, Sean. And no problem at all.
Operator: And our next question comes from Noah Kaye with Oppenheimer.
Noah Kaye - Oppenheimer & Co., Inc.: Hey, thanks for letting me sneak in a follow-up. Philip, I guess one question is just about the general business environment. Coming off the year where book-to-bill at the end of the year ended up being pretty close to one, but could you maybe comment on general RFP activity levels, whether you still sort of see that supporting low to mid single-digit growth, and kind of, basically how that would break out across the segments? Thanks.
Philip C. Mezey - Itron, Inc.: Sure, Noah. And yes, we do see a level of market activity that will support our growth objectives and I would say that – I would start out though with this 22% increase in 12 months backlog in the historical Itron segment and the combined backlog as indicators certainly supporting 2018 and 2019. But to your question really about continued market activity, we see strong opportunity in the United States. The ability, again, to add things like distribution, automation and street lighting and continued penetration of smart technologies provides for strong level of activity. This really strong level of bookings that we've seen in the Water business, where we provided color on the fact that we see a return in 2018 to growth and predictability in the Water business. We noted a couple of European wins on the Water side, other international wins, so we see good recovery in Latin America and a brightening outlook specifically in EMEA for the Water business. The increased level of activity with Linky and the opening up of the UK and some initial activity in Germany, we're pleased about there. And on the Gas side, we see increased opportunity for automation and next generation technology that we're investing in. So, we are very pleased about the overall outlook here over the next couple of years for it to support revenue growth.
Noah Kaye - Oppenheimer & Co., Inc.: Great. Thank you so much.
Philip C. Mezey - Itron, Inc.: You're welcome.
Operator: And we'll go next to Joseph Osha with JMP Securities.
Joseph Osha - JMP Securities LLC: Okay. I made it back. Thank you. Tom, I think, this one might be for – it's extraordinary. It's like you keep on coming around.
Joan Schweikart Hooper - Itron, Inc.: Okay. That's okay, Joe.
Joseph Osha - JMP Securities LLC: This, this one may be for Tom. The legacy Silver Spring there's been a lot of questions, concerns, thoughts about their ability to monetize some of the nearly five (52:12) business they've got, and that's a very challenging supply chain, they were attempting to put into place. Any early thoughts about potential for improvement, low-hanging fruit, how that might be wrapped into to your existing supply chain efforts and maybe even how much money might be saved there?
Thomas L. Deitrich - Itron, Inc.: Good one, Joe. It is obviously something that we're spending a lot of time thinking about and looking at today, taking their business which was, I don't know, $300 million or so combining with ours which was $2 billion, it obviously gives us a bigger platform and hopefully some better buying power with the contract manufacturers that are out there. So, certainly we want to use the scale and leverage we have in two ways, one is, is pricing on our side but also it is to secure components in an increasingly constrained world and that's where I think some scale probably helps us overall. The actual, combining of the supply chains, making sure that we're using common factories we're very early in that game and that will play out over the next year and years. The leverage that we get out of it is obviously already baked into our guidance for the year and we'll look to continue to improve that as we move forward.
Joseph Osha - JMP Securities LLC: Okay. And just confirming obviously lots of homework taking place right now, but on an ongoing basis starting from Q1 will we get a GAAP EPS guide out of you folks?
Joan Schweikart Hooper - Itron, Inc.: Barbara, I'm sorry.
Barbara J. Doyle - Itron, Inc.: No, with non-GAAP EPS guide though. Yeah.
Joan Schweikart Hooper - Itron, Inc.: Non-GAAP EPS, yeah.
Joseph Osha - JMP Securities LLC: No, no, no, I mean, starting Q1, once you've done kind of all your homework, will you be able next quarter to give us a GAAP guidance?
Joan Schweikart Hooper - Itron, Inc.: Yeah, I can't commit to that right now. I'm not even convinced we'll be through all the purchase accounting in Q1. That will continue to evolve. So, our focus right now is continuing with the non-GAAP EPS guidance. And...
Joseph Osha - JMP Securities LLC: Okay. Thanks and...
Joan Schweikart Hooper - Itron, Inc.: Sorry, go on. I was going to say, we have provided the quarterly – Q1 quarterly guidance this year, just because there's so much going on, that's not something we would plan to continue. We did just want to really help you guys understand there is a lot of moving parts. So we wouldn't anticipate kind of continuing with our full year guidance, after we get through this first quarter of combining the two companies.
Joseph Osha - JMP Securities LLC: Okay. Thanks. Lots of busy accountants, I'm sure.
Joan Schweikart Hooper - Itron, Inc.: Yes, very.
Barbara J. Doyle - Itron, Inc.: Okay, Sofie, I think, we're coming up to the end of the hour. So I don't know if there's anyone else in the queue, but Philip I think we should wrap up the call now.
Philip C. Mezey - Itron, Inc.: Okay. Yeah. Thank you to everybody for your questions. There is quite a lot going on although we are extremely energized about the opportunity that we have both to continue to drive operational improvement, and I think, the note there is, is that these are elements that are really largely under our control to continue to drive our restructuring plans and continued improvement there. And very pleased about what we have found that largely confirms the thesis of the combination of Itron and Silver Spring and see tremendous opportunity on a combined basis, with this increased backlog visibility, with a strong common go-to-market approach and now identification of the steps we need in order to achieve the synergy numbers that we've committed to. We see really an accelerating opportunity here in 2018. So, thank you all very much and I'll be talking to you soon.
Operator: And there will be an audio replay of today's conference available this afternoon. You can access the audio replay by dialing 1-888-203-1112 or 1-719-457-0820 with the passcode of 3052187 or you can go to the company's website, www.itron.com. This does conclude today's call. We thank you for your participation. You may now disconnect.